Operator: Good day, everyone, and welcome to the Cintas’ Fourth Quarter Fiscal Year '21 Earnings Release Conference Call. Today's call is being recorded. At this time, I would like to turn the call over to Mr. Paul Adler, Vice President and Treasurer, Investor Relations. Please go ahead, sir.
Paul Adler: Thank you, Nick. And thank you for joining us. With me today is Scott Farmer, Cintas’ Executive Chairman of the Board of Directors; Todd Schneider, President and Chief Executive Officer and Mike Hansen, Executive Vice President and Chief Financial Officer. We will discuss our fourth quarter results for fiscal 2021. After our commentary, we will be happy to answer questions. The Private Securities Litigation Reform Act of 1995 provides a safe harbor from civil litigation for forward-looking statements. This conference call contains forward-looking statements that reflect the Company's current views as to future events and financial performance. These forward-looking statements are subject to risks and uncertainties, which could cause actual results to differ materially from those we may discuss. I refer you to the discussion on these points contained in our most recent filings with the SEC. I'll now turn the call over to Mike Hansen.
Mike Hansen: Thanks, Paul. Our fiscal 2021 fourth quarter revenue was $1.84 billion compared to $1.62 billion in last year's fourth quarter, an increase of 13.3%. Earnings per diluted share or EPS were $2.47, an increase of 83% from last year's fourth quarter. The organic revenue growth rate adjusted for acquisitions, divestitures, foreign currency exchange rate fluctuations and differences in the number of workdays was 11.5% for the fourth quarter of fiscal '21. Organic revenue for the Uniform Rental and Facility Services operating segment was 13.7%. Organic revenue for the First Aid and Safety Services operating segment declined 6.8%. Gross margin for the fourth quarter of fiscal '21 was $859.1 million compared to $707.8 million in last year's fourth quarter. Gross margin as a percent of revenue increased 310 basis points to 46.8% for the fourth quarter of fiscal '21 compared to 43.7% in the fourth quarter of fiscal '20. Selling and administrative expenses improved as a percent of revenue to 27.4% in the fourth quarter of fiscal '21 compared to 30.9% last year. Operating income for the fourth quarter of fiscal '21 of $356.4 million increased 71.8%. Operating margin increased 660 basis points to 19.4% in the fourth quarter of fiscal '21 compared to 12.8% in the fourth quarter of fiscal '20. Fiscal '20 fourth quarter operating income was affected by many items caused by COVID-19 including additional reserves on accounts receivable and inventory, severance and asset impairment expenses and lower incentive compensation expense. Excluding these items, the fiscal '20 fourth quarter operating margin was 15.5%, all of these items were recorded in last year's selling and administrative expenses. Our effective tax rate for the fourth quarter of fiscal '21 was 19.4% compared to 20.4% last year. The tax rate can move from period to period based on discrete events, including the impact of stock compensation. Net income for the fourth quarter of fiscal '21 was $267.7 million, an increase of 85.2%. EPS was $2.47, an increase of 83% from last year's fourth quarter. Our balance sheet and cash flow remained strong. Our leverage calculation for our credit facility definition was 1.5 times debt-to-EBITDA at May 31st, 2021. On June 1st, 2021, $250 million of debt bearing an interest rate of 4.3% matured and was repaid with cash on hand. We have an untapped credit facility of $1 billion. During the fourth quarter of fiscal '21 and our first quarter of fiscal '22 to date, we purchased $979 million of Cintas common stock under our buyback program. On June 15th, 2021, Cintas paid shareholders $79.2 million in quarterly dividends. For the fiscal year ended May 31st, 2021, revenue was $7.12 billion compared to $7.09 billion for fiscal '20. EPS for fiscal '21 were $10.24 compared to $8.11 for last fiscal year. Revenue and adjusted EPS have grown 50 of the past 52 years. Fiscal '21 free cash flow, which is defined as net cash provided by operating activities less capital expenditures was $1.22 billion, an increase of 14.7% compared to last year. For our fiscal '22, we expect our revenue to be in the range of $7.53 billion to $7.63 billion and diluted EPS to be in the range of $10.35 to $10.75. Please note the following regarding our guidance. Our fiscal '22 effective tax rate is expected to be in the range of 19.5% to 20.5% compared to a rate of 13.7% in fiscal '21. The higher effective tax rate negatively impacts fiscal '22 EPS guidance by about $0.85 and EPS growth by about 800 basis points. Guidance does not include any future share buybacks or potential tax reform. We remain in a dynamic environment that can continue to change. Our guidance contemplates a steadily improving economy, absent any economic or pandemic related setbacks. For financial modeling purposes, please note that there are no workday differences when comparing fiscal '22 to '21. Both fiscal years contained 66 days in the first quarter, 65 in the second, 64 in the third and 66 in the fourth quarter. I'll now turn the call to Paul for commentary on the performance of each of our businesses.
Paul Adler: Thanks, Mike. The Uniform Rental and Facility Services operating segment includes the rental and servicing of uniforms, health care scrubs, mats and towels and the provision of restroom supplies and other facility products and services. The segment also includes the sale of items from our catalogs to our customers on route. Uniform Rental and Facility Services revenue was $1.47 billion compared to $1.27 billion last year. Our Uniform Rental and Facility Services segment gross margin increased 410 basis points to 47.7% for the fourth quarter compared to 43.6% in last year's fourth quarter, driven in large part by lower production and service expense as a percent of revenue. While some inflationary pressures increased certain costs, these were more than offset by increased revenue from businesses re-opening or increasing capacity as COVID-19 case counts fell and restrictions on businesses were reduced. Our First Aid and Safety Services operating segment includes revenue from the sale and servicing of first aid products, safety products, personal protective equipment and training. This segment's revenue for the fourth quarter was $186.9 million compared to $196.3 million last year. First Aid fourth quarter revenue was up against a very difficult comparison. In last year's fourth quarter, in response to the onset of the COVID-19 pandemic, personal protective equipment sales surged. Also, the first aid Cabinet Service business was not impacted until late in last year's fourth quarter when business restrictions became widespread. As a result, the division posted a 21.9% organic revenue growth rate in last year's fourth quarter. The First Aid segment gross margin was 43.0% in the fourth quarter of this fiscal year compared to 46.1% last year. The difference in gross margins is due to revenue mix. As we guided last quarter, less personal protective equipment was sold in the fourth quarter than in the third quarter. However, as a percentage of total division revenue, personal protective equipment revenue was still a significant percentage, while profitable personal protective equipment revenue has lower gross margins than the first aid cabinet servicing business. We expect gross margins to improve sequentially as the cabinet servicing business continues to grow and gets closer to the pre-COVID percent of total division revenue. Our Fire Protection Services and Uniform Direct Sale businesses are reported in the All Other category. All Other revenue was $181.9 million compared to $152.3 million last year. The Fire business organic revenue increased 22.4%. Gross margin improved 70 basis points. Uniform Direct Sale business organic revenue growth rate was 6.2%, and gross margin increased 280 basis points. I'll now turn the call over to Todd for our final prepared remarks.
Todd Schneider: Thanks, Paul. We are pleased with our fourth quarter financial results that conclude a fiscal year of significant accomplishments, including the following. We help keep our customers' place of business clean, safe and Ready for the Workday by providing essential products and services. We procured hard to find and potentially life saving items such as face masks and gloves, provided hygienically clean health care scrubs and isolation gowns and developed services, including hand sanitizer dispensing, sanitizing spray services and disinfecting wipes. Our Net Promoter Scores reached an all-time high because we consistently delivered for our customers by providing needed products and services and being flexible with service agreement terms during the pandemic. We were again named to the prestigious Fortune 500, climbing 31 spots to rank at number 410 on the 2021 list. It's an honor to be recognized among the most successful and respected companies. We allocated capital to improve shareholder return. We paid down debt, reducing interest expense. We increased the annual dividend 10.2% and changed from an annual dividend to a quarterly dividend to return cash to shareholders more timely. We've increased the dividend 37 consecutive years. Also in fiscal 2021 and up until today, we repurchased 2.7 million shares of Cintas stock for a total of $979 million. As part of our steadfast commitment to corporate responsibility, we issued our inaugural environmental, social and governance, or ESG report. We are committed to protecting the environment, enhancing humanity and supporting the communities where we do business. And in addition to these many accomplishments and despite the unprecedented challenges of the COVID-19 pandemic, we grew our fiscal year revenue and adjusted EPS. I can't thank our employee partners enough, and I'm so proud of their truly impressive achievements. The Cintas story is one of growth. We have grown revenue and adjusted EPS in 50 of the past 52 years. The only exceptions were the Great Recession years. Our successful long-term financial formula is organic revenue growth in the mid to high single digits, double-digit earnings per share growth, significant cash generation, improved deployment of excess cash to further generate strong shareholder returns. Our prospects for continued growth are great and a result in part from a strong value proposition and a vast total addressable market. We have a product or service to help nearly every business get Ready for the Workday. Examples include, scrubber rental to hospitals and dentists, hygiene supplies and services to professional services firms, floor care services, including walk-off mats and mops to retailers, first aid products to hotel and restaurant kitchens for cuts and burns, fire protection services to facilities managers and universities, and personal protective equipment to city maintenance and sanitation departments. The renting of health care scrubs and isolation gowns is indicative of a broad uniform rental opportunity. Plus, we are so much more than a uniform company. More than half of our revenue is from facility services, including hygiene, floor care items such as walk-off mats and dust mops, cleaning tools like microfiber mops and towels, first aid cabinet services, personal protective equipment, and fire protection services, including test and inspection of extinguishers and alarms. Our total addressable market is the 15 to 20 million businesses we don't currently service. Every business, goods producing or services providing has a need for image, safety, cleanliness or compliance. Every business has a need Cintas can fulfill. Additionally, the COVID-19 pandemic ushered in a greater focus on health, readiness and outsourcing of non-core activities. Significant opportunities for new revenues continue to exist because of the need of businesses to instil confidence in their employees, customers, students, patients, et cetera, that they will remain healthy and safe. The new services we launched, including hand sanitizer stand dispenser service and sanitizing spray service, have a long runway. Cintas consistently invest in technology to support growth. Our recent implementation of the SAP enterprise resource planning system provides benefits in three main areas. One is operational efficiencies. Our route drivers utilize personal route computers, which are similar to a cell phone, to access data and process transactions real time. Also, SAP enabled us to have visibility to laundered plant stock room [ph] inventories across our operations, helping improve profitability via the sharing and reuse of revenue producing assets. And the technology helps us improve working capital, be it tighter management of supply chain inventory. A second benefit is data analytics and enhanced business reporting. These result from having the order to cash cycle all in one system. SAP enables us to analyze, process and extract information from extremely large data sets, helping us target penetration, cross selling and pricing opportunities. And the third competitive advantage is improved customer service. Through SAP, our customers can pay bills and communicate with us 24 hours a day, 7 days a week. We expect the ease of doing business will help us improve customer retention. Also, customers can order products and services via SAP, resulting in improved turnaround time and faster realization of product and service revenue. I want to say a few more words regarding ESG. From the start of our company in the Great Depression, the Cintas business model was wholly based on sustainable practices, wash and reuse. We have a great corporate responsibility story to tell. We will continue to expand our ESG reporting and are excited about issuing our next report this year. And finally, I'd like to say thank you on behalf of all Cintas employee partners to Scott Farmer for his 18 years of service as Chief Executive Officer. Under Scott's leadership, the company's revenue grew from $2.69 billion in 2003 to $7.12 billion in fiscal 2021. Scott successfully led Cintas through years filled with challenges, changes and opportunities, including the Great Recession, our largest acquisition, the COVID-19 pandemic and the integration of SAP technology across the organization. We thank Scott for his service to the company as CEO, and we are grateful that he remains as Executive Chairman.
Scott Farmer: Thank you, Todd. And I'd like to take this moment to thank all of my Cintas partners across the company. I'm proud of our many collective accomplishments, including the innovative products and services that we provide our customers, as well as the tremendous dedication of our employee partners without whom we wouldn't be successful. Our company is in a position of financial strength with the strongest and most experienced management team that we've ever had executing a proven strategy that has allowed our continued success even through the recent pandemic. It's been a true honor and privilege for me to have led this company as CEO for the last 18 years. And I'm as excited about our future as I've ever been, and I look forward to watching this leadership team steer us to continued success in the future.
Paul Adler: That concludes our prepared remarks. We are happy to answer your questions.
Operator: Thank you. [Operator Instructions] And our first question comes from Andrew Wittmann with R.W. Baird. Please go ahead.
Andrew Wittmann: Great. And thanks for taking my question. Scott, congratulations on a great run. It's been a pleasure, and we look forward to still having you associated maybe when we come to Cincinnati next time.
Scott Farmer: You bet. Thank you.
Andrew Wittmann: Yeah. So I guess getting on to business here a little bit, and maybe this is for Mike. There is been a lot of focus on inflationary factors. And what I heard here on your prepared remarks and in your release was that it sounds like you are getting good operating leverage. But I was just hoping you could drill in and talk about some of the key factors you've talked about in the past. Certainly, labor is one that's come up a lot broadly across the street. You've talked about some other things like health care, travel. And others are mentioning merchandise costs. I was just wondering if you could talk about some of those key buckets. And talk about the offsets that you have baked into guidance because it looks like your margin guidance is flat to up slightly. And so I was just kind of hoping you could talk about some of the moving pieces inside of that as to why you feel like you can offset some of these headwinds that might be creeping in?
Mike Hansen: Sure. I'll begin, and certainly, Todd can jump in. But as it relates to guidance, you are right, Andrew. The implied margins would be at the low end of the guidance flattish to at the high end up around 70 basis points, so a pretty good range. And you know, you've heard us talk a lot about we've made some really great progress. We made some difficult decisions through this pandemic, and it'd be a shame to go backwards in this. And this guidance is suggesting that we don't intend to. And so how do we think about this inflation? Certainly, labor, as you mentioned, Andrew, is a big component of our cost structure. And the really good news for us is we've been working on the labor rates for some time, so this isn't something that is catching us by surprise. And over the last several years, we've been increasing the labor rates. And so certainly, the labor environment is a difficult one from the standpoint of the supply of people hiring has been a little bit more difficult. But we don't expect that the increasing wages around us is really going to be a significant issue. We've been working on that for years and don't expect that to really be that difficult for us as we move into the future.
Scott Farmer: And I would add that, that includes last fiscal year. We raised the wage rates of all of our hourly people in our distribution centers, offices, production, all of our service, frontline service personnel. So we don't have a big catch up as a result of that. I know there are other businesses out there that froze wages in the pandemic. And because it was a year, they might have a catch up to make, and we don't have that. So you know, I'm happy to say that. But I don't think that so far we've seen issues where the labor rates are going to cause us significant problems. But we're more concerned about what happens to our customers as a result of this. And so we'll be watching that very closely.
Todd Schneider: Andrew, this is Todd. It's a great question. We're in a good staffing position. We like where we are there. We like the fact that we've been addressing this subject over the course of a number of years. And as Scott pointed out appropriately, even in the peak of the pandemic last year, we were committed to staying the course and do the right things and taking care of our hourly partners to - because we knew that we could see things coming, right, and we're committed to it. So that's important to us. Certainly, other input costs are cost of goods. And our supply chain team is working harder than ever, and they are doing a great job in managing through that process to get us the goods that we need to make sure we're servicing our customers, which are doing a great job at, and to manage our cost structure from that standpoint. But we like the spot we're in, and we anticipate getting, hopefully some leverage on the additional revenue that we bring in. We've done such a great job and took such a big jump forward from fiscal '20 to fiscal '21 that as Mike stated, it will be a shame to go backwards, and we're focused on going forward.
Mike Hansen: And Andrew, maybe I'll add a couple of other items. You saw that energy was 30 basis points higher in our fourth quarter than our third quarter, about 40 basis points year-over-year. We've built that kind of increase into our guidance. And certainly, there is room within our guidance for larger increases than that, but something that we'll keep our eye on. We are - we constantly are working on improving efficiencies, productivity levels, routing, and those things will all have positive impacts. From a material cost standpoint, you know, the good news is many of our rental items are amortized. So when we see increases in costs, they generally tend to take a long time to make it to our P&L, and they must - they have to last for a while so that they bleed in over time. And so, you know, obviously, we've got a great global supply chain Todd talked about, and they adapt. And so when we see inflationary pressures, we look for opportunities to adapt to that new environment. And I think, over the course of the last year, we've talked a lot about our supply chain. They've done a great job, and we anticipate that they will continue to do a very good job. Now having said that, you know, there are a lot of challenges in the supply chain and in hiring that we've talked about. And we're not immune to inflationary pressures. They are all built into our guidance. But the other thing is, we haven't increased our pricing for 2 years, right? And - but we certainly believe that, that is an opportunity for us. As we move into this new fiscal year, we have selectively started to do that in some areas. Pricing is local for us. It's customer by customer decision, and where we believe it makes sense, we will do that. And so that is certainly something that is available to us when we believe that the cost pressure is warranted. Again, all of that is built into our guidance, which assumes not just keeping the great leap forward that we made in fiscal '21, but even continuing to improve upon.
Andrew Wittmann: That's really helpful. Thank you. I just - my one follow-up, is just trying to get a sense of the re-opening benefits that you are getting or expecting at a sequential basis. How much is left after the May quarter and into June? Is there still businesses that are closed for you or substantially closed where the revenues are so de minimis that they might as well be considered closed? Or on a sequential basis, are you starting to feel like things are fairly normal here, June, July time period? Thank you.
Todd Schneider: So Andrew, Mike talked about pricing being a local subject, re-opening is a local subject as well. But for the most part, most businesses are back. Certainly, Canada has been a little slower to come back because of vaccination rates and government impacts there. But nevertheless, in general, most businesses are back. Now are they back at the levels that we think they will be in the future? No, and we're committed to helping them with our valuable products and services to help them be prepared as their employees come back and their customers come back, so that they can be - they can compete in the marketplace. So hopefully, that helps.
Scott Farmer: Yeah. I would add, this is Scott. I would add that we think that Canada will be in the position that the US is sometime the end of the summer with re-openings, but they're on a steady pace heading in that direction. The biggest issue that we have is that businesses are open, but there are, what, about 7 million fewer people employed right now than they were pre-pandemic. And so there's a lot of room there. And I think as federal unemployment benefits subside in, what September, we hope to see that our customers that are open will be able to get themselves back to full staffing, and that will obviously benefit our business.
Operator: Thank you. Moving on to our next question, we'll go to Manav Patnaik with Barclays Capital. Please go ahead.
Manav Patnaik: Thank you. Good morning, guys. So I was just hoping you could help us with the kind of cadence of organic growth by segment. There is still obviously a lot of uncertainty potentially out there, so thank you for giving full year guidance. But I was just hoping if there is anything to call out in terms of modeling you know, the growth rates of the segments?
Todd Schneider: Yeah, Manav. this is Todd. So I think you've seen through our guidance, we expect a range of 5.8 to 7.2 from a growth rate. When you think about - obviously, the rental division is our, by far, our largest division, so that will be in that range. But we expect that all of our businesses, meaning the other businesses, Fire, First Aid and our Direct Sale business, will all be high single digit growth businesses in this fiscal year. So we feel very positive about all of them, and I look forward to growth in each of those businesses.
Mike Hansen: Yeah. I think we might see a little bit of bumpiness in the First Aid business. You saw that their revenue was a little bit lower. Growth wise they had a decline in the fourth quarter. They had such a strong year last year, particularly in the fourth quarter and the first quarter. We may see a little bit of bumpiness through the year, but it's a great business. It's improving. We are seeing the recurring business and the mix start to turn back to where we like it. And so that's just throughout the year, maybe a little bit of a different performance than we're used to seeing from a steadiness perspective.
Manav Patnaik: Okay. That makes sense. And then if I can just ask you know, around capital allocation, I mean the buyback was a pretty big number, the $900 plus million that you talked about. Can you just help us understand that in the context of the M&A pipeline and what we should expect going forward?
Todd Schneider: Yeah. So our commitment is still number one priority is to invest back into our business, to grow the number of customers we have and grow those customers and invest in our infrastructure. Our second one is to invest in M&A. And we are very focused on M&A, active in that area and it's a big push for us. And then third, if there is - consistent with what our approach has been in the past, if there is capital that is in excess of that, then we'll return it back to the shareholders in the form of increasing dividend and repurchase of the stock as appropriate.
Paul Adler: Yeah, Manav, this is Paul. And I was just wanted to add that, we're so fortunate to have such a strong balance sheet, the cash flow is so strong. We did that buyback, and our leverage is 1.5 times, as we mentioned in the script. So fortunate to be in a position where you know, what we do with the dividend and the buyback doesn't preclude us from M&A or any other activities because of the strength of the balance sheet.
Manav Patnaik: All right. Thank you.
Operator: Thank you. And our next question comes from Andrew Steinerman with JPMorgan Securities. Please go ahead.
Andrew Steinerman: Hi. When you frame fiscal '22 revenue growth, could you just talk about some verticals here, which verticals do you think will be above the average growth of the guide? And which verticals might take longer to rebound or maybe they are just kind of slower growth verticals?
Todd Schneider: So Andrew, this is Todd. As we look at the business, certainly, the hospitality business is - you read about it in the papers, right? You see - you hear about bookings, whether it's airlines or hotels, et cetera. That is a vertical that we think will be quite positive this year. The health care vertical is going to continue to be strong for us. Hospitals are catching up on voluntary type of procedures, which is helping that. And we have a very attractive value proposition in both of those areas as well. Education, government are both - we expect to be quite strong for us. There was a the mix of business, I think, you will see will be different in those areas, less PPE and more focused on more of a traditional type of approach that we've had in the past. But those key verticals are all positioned well. And if you think of them all, they are all positioned quite well, hospitality probably the best.
Andrew Steinerman: Are there any slower growth verticals or really it's a rising tide here?
Todd Schneider: Yeah. I would say I don't - none come to mind where I would say, yes, a slower type of growth. It's just - we're kind of a rising tide is the best way to put it.
Andrew Steinerman: Great. Thank you.
Operator: Thank you. And our next question comes from Hamzah Mazari with Jefferies. Please go ahead.
Ryan Gunning: Hey, good morning. It's actually Ryan Gunning filling in for Hamzah. My first question, just around the Fire Protection business. And if you could just talk about the competitive dynamics there and any opportunity for larger scale M&A in that business kind of similar to what you did with ZEE Medical and the First Aid side?
Todd Schneider: Yeah, Ryan. This is Todd. We like our position in the Fire business and really like the Fire business. There, we understand the - how to go to market and how to make attractive margins in that business. And we're investing, we're investing in M&A, we're investing in infrastructure to make sure that we're able to service all of our customers. And we have a national offering in that business, some via sub-contracting. But nevertheless, a very attractive national approach, and we're positioned well. How we - our culture, our infrastructure, how we execute puts us in a good spot. And there's good momentum in that business. There was - you think about it, right? It's all - legally, you have to have that - those products and those services. But nevertheless, there was some pent up demand in it from repairs, right. So if you think about someone comes through and looks at your fire equipment, and there are some items that need to be repaired. During the pandemic, people are more so anxious to spend money on those types of subjects and - but as we're coming out of it, we're busy, we're busy in that area for many reasons, one of which is some pent up demand on repair, which is great business for us.
Ryan Gunning: Got it. Thanks. That's helpful. And then switching over, could you provide any kind of visibility on like how much of your sales you consider today as pandemic, like non-recurring versus recurring and how you kind of define that?
Todd Schneider: Yeah, great question. So when you think about, let's call it, PPE items that were really pandemic related, they are still at levels elevated from pre-pandemic, but we do not expect them to repeat at the levels that they were in fiscal '21. So if you think about our guidance, we think we would be - with the PPE that doesn't repeat, if it has - if it does repeat, then we would be in the, you know, on the high end, above 8% from an internal growth rate. So think about it that way about how much is - will not be repeating, that we don't expect to repeat, which kind of demonstrates the mix of business is going to be back closer - much closer to traditional. And there is some real good momentum there to get to the growth rates that we've guided towards.
Ryan Gunning: Got it. Thank you very much.
Operator: Thank you. And our next question comes from George Tong with Goldman Sachs. Please go ahead.
George Tong: Hi, thanks. Good morning. In the Uniform Rental segment, can you talk a bit about sales rep productivity trends and how the pipeline is performing, especially moving through the quarter and entering fiscal 2022?
Todd Schneider: George, I'm glad you asked about that. I have been so impressed by our sales organization, the creativity, the flexibility, the urgency, the intensity about which way they go about their jobs and how they have adapted to a crazy environment. And we try to work very hard to position them with great products and services so that people very much want to take their calls. And so we like where that's heading. The mix of business is obviously changing, but it's getting back to much more traditional, George. But there is a strong audience for the - our sales partners and in whom they are calling on, partly because there were some items that you - when people were going through the pandemic, they said, hey, I can't make a decision on uniforms right now, but I need some critical products to help my business run. We provided those critical products and services and its positioned us, now that it's closer to businesses getting back to normal, where we say, okay, now I'm ready to talk about those types of items. So all that is positive for us. You know, as we went through it, folks didn't realize that we had all the products and services that we do. So that opens some doors, and we're continuing to operate in those doors to help improve our business.
George Tong: That's very helpful. And then switching gears to health care and hygiene. Those are very strong categories over the past year. Can you describe what kind of performance you're expecting structurally from those health care and hygiene categories, not just in fiscal 2022, but really looking forward? And then diving into PPE, you talked a little bit about normalization there in First Aid mix going back to pre-COVID levels over time, which has higher margins. Just talk a little bit about that evolving mix as well and the implications for growth and profitability?
Todd Schneider: Yes, George, I'll start and Mike, Scott, Paul, if they want to jump in. We've spoken in the past about hygiene, cleanliness, all those subjects that the pandemic has done for those subjects what 9/11 did to security 20 years ago. And so what we're seeing is there's a greater focus on the health of employees, health of patients, health of guests, students, and hygiene is a big part of that. So we see that as something that will be elevated into the future, and we think that's good for society, that's good for our business and good certainly for all those individuals. So we think that's going to be something that's elevated, hopefully, in perpetuity. As far as PPE normalization, there is - there was a breakneck pace to get PPE last year because folks couldn't keep their doors open in certain cases couldn't work. So there was some real peaks last year. That is certainly less. We expect this year the variants, the delta variant, I think, brings a bit of a wildcard into that, which we're not going to try to predict. But nevertheless, as you see, as we go throughout the year, you will see much more normalization. You'll see more people using our traditional cabinets, First Aid products, hands and cabinets as we say, and PPE will be more moderate. Now just keep in mind, we've always been in the PPE business. We've always provided these products and services, it's just they were elevated. We will continue to offer them. But as more people get back to work in offices and machine shops, in government and education, there will be more people that will be consuming, from a first aid standpoint, our traditional types of bandages and tablets, et cetera. So hopefully, that gives you a little color.
Paul Adler: And George, this is Paul. I just want to tell, you mentioned First Aid specifically too, so I just want to make sure we provided enough clarity there. That business, as Mike said, alluded to, it's in a transition period where, to Todd's point, so much PPE was provided. We seized the opportunity to come through for our customers and provide thermometers and masks and visors, et cetera. So it's an outsized percent of the revenue. That will transition, as we've been talking about the last couple of quarters. What I want to make sure everybody understands is that First Aid business is getting back to that more re-occurring revenue stream with that Cabinet Service business, which we are very excited about. And to think about a 9% or high single digit type of a growth rate for First Aid in fiscal '22, that's coming off a huge growth rate with a lot of PPE. So still a strong performance. And what I want to make sure people don't miss is that, in order to drive a high single digit growth rate in '22, with PPE declining, that Cabinet Service business is growing very strongly. And what that will do then is improve the margins going forward for the First Aid business in fiscal '22. And we probably won't get back all the way to pre-COVID levels in terms of margins in First Aid because, just like many of our businesses, it's a lot of small transactions. There's some momentum that has to build. But definitely, the margins will continue to improve through the year as we get back to servicing those cabinets.
George Tong: Very helpful. Thank you.
Operator: Thank you. Our next question will come from Toni Kaplan with Morgan Stanley. Please go ahead.
Toni Kaplan: Thank you. I know you talked about the margin guidance earlier in the call and addressed the inflation impacts. But I wanted to see if you could provide maybe some additional detail around which business lines you're expecting to see the most strength from a margin perspective?
Mike Hansen: Well, Toni, I would say, you know, all of our - we expect all of our businesses to perform very, very well. And in order for us to be able to guide in the way that we did from about flattish to up 70 basis points, we're going to need good performance out of all of our businesses. And that translates into very good incremental margins, especially in our Rental business. It's certainly, as Paul just described, it means that we're going to see some nice improvement in our First Aid margins as we see a bit of a mix shift. We expect continued good performance in our Fire business, as I think we mentioned 22% organic growth in the fourth quarter. We've got some great momentum, and we'll get some nice leverage as we move into the year. And then certainly, our Direct Sale business, those margins I would expect, from a percentage standpoint to really increase nicely, as we see those - see the revenue start to come back, that will allow us to get a little bit more efficient and certainly be able to leverage our infrastructure in that business. So we're looking for margin, good margin performance in all of our businesses all contributing to that guidance range, margin improvement and all contributing to a real healthy 20% to 30% incremental margins.
Todd Schneider: Toni, the - obviously, we're guiding towards all of our businesses growing, incremental margins 20% to 30%. But when you think about it, obviously, the mix is going to change in all those businesses. And each of them sold, with the exception of Fire, there was some PPE. And so there's - we'll get back to more traditional type of mix. And that and the leverage on the additional revenue is going to help us.
Toni Kaplan: That's great. And in your prepared remarks, you mentioned the 15 million to 20 million businesses that you don't currently service. Could you just talk about the recent industry outsourcing trends? Has that - have you seen that accelerate or flatten? And how do you go about reaching out to those businesses? Is that an initiative, a big opportunity for you any more so than historically? Just how should we think about the opportunity?
Todd Schneider: Yes. Toni, the outsourcing trends continue, that has been positive. In addition, the focus on bringing manufacturing back to the United States and Canada, we think will be a positive, just that's obviously in the early innings. But both of those, we think, will be positives for our business. As far as reaching out, we have a significant investment in our infrastructure. And part of that infrastructure is in our route base, and part of that is in our sales organization. So that is a - that's a significant investment. You've probably also seen, I hope you've seen some of our investment in mass media that we're leveraging. Because we think it can pay dividends for that infrastructure. And there are one more thing we hear from customers and prospects, frankly, is, hey, I didn't know you did that. That is a product or a service that they didn't realize that we provided. So we're trying to leverage that and get the message out and to give a little air cover to our infrastructure.
Toni Kaplan: Thank you.
Operator: Thank you. Our next question comes from Tim Mulrooney with William Blair. Please go ahead.
Tim Mulrooney: Good morning, guys. I wanted to check in on the health care opportunity, which I know has gotten a lot of attention on recent calls. We haven't talked about it a lot yet today. You previously stated that I think that the vertical could expand from kind of 7% of sales today towards potentially 10% of sales over the next several years. But I know things are changing rapidly these days. So with another three months under your belt, I'm curious if those expectations have changed at all in either direction?
Todd Schneider: Tim, this is Todd. I'll start. We don't see momentum slowing down in that area. Again, hospitals are getting a little bit back to more normal operations of how they run their business, and our value proposition resonates with them. We've talked often about the various products and services that we provide, scrubs being a big one, isolation gowns, but also cleaning products to help them provide a healthy environment. So there is a whole lot more focus on health and welfare now. Obviously, in the health care business, because of what they do for a living, there's always been a major focus on providing an environment that allowed for high patient satisfaction, that was not only in health, but also in image. So its - when you think about what they need, it's a great vertical for us and the products and services we provide. And there is a long runway there. We're providing products and services to help institutions that - I'd like to think you'd be impressed by the name of - the list of people we do business with. So who's who in that business. But nevertheless, we're not nearly as penetrated as where we can be, should be and will be. So we're very much in the early innings on that vertical still.
Tim Mulrooney: Okay. Great. Thanks, Todd. And just switching gears, I apologize if you already addressed this. But how did energy costs impact the results this quarter? I don't know, maybe year-over-year sequentially or however you want to present it. But can you also talk about your expectation for energy cost that's built into your guidance, maybe for your fleet, but then also for your production plans? Thank you.
Mike Hansen: Tim, our total energy costs for the quarter were 2.1% of revenue. That's up 30 basis points from the third quarter and that's up 40 basis points from a year ago. So we did certainly see some increase within the quarter. Our expectation is that those will remain elevated during fiscal '22, up at those levels, maybe even a little bit higher. So that's what we've got incorporated. Most of that increase being price at the pump, so our gas and our service, our routes. So that's what we've got in the guidance.
Tim Mulrooney: Great. Thank you.
Operator: Thank you. And our next question comes from Gary Bisbee with Bank of America Securities. Please go ahead.
Gary Bisbee: Hi, guys. Good morning. I guess on revenue, first, I have one clarification and one question. I just wanted to clarify. So high single digit for First Aid, I heard that, and then I heard some discussion of the tough comps and I think the term bumpiness. Is high single digit the right number for the year, but maybe declines in the near term as you get through the toughest period of comps is not out of the question? Is that a fair statement on that business? And the question then on revenue, on the Rentals business, right, the long-term growth rate has been sort of in line with this guidance. You've got easy comps, you've had sequential improvement throughout last year. The fourth quarter had quite strong growth. I guess I wonder why you wouldn't be positioned to grow faster than the historical long-term trend given those factors in this year. Did the hygiene business within rentals have an outsized benefit from PPE that rolls off, and is that a drag? Or are there other factors beyond just your normal conservatism that might be weighing on that business? Thank you.
Todd Schneider: So Gary, as far as the First Aid, yeah, think about it as high single digits for the year. As Mike stated, Q4 last year, Q1 - excuse me, Q4 of '20 was a huge growth rate for the First Aid business, as was Q1, so the comp from right now were really big. So as the year goes on, the PPE will - the comp will lessen. And as a result, our growth rates will be better in that business. So the bumpiness that Mike spoke about is simply the PPE comps in the early portions of this fiscal year versus last. As far as the Rental, yeah, as we mentioned in the past, there's PPE in that - in our results from last year in Rental as well. And again, just going back to our total guidance if the PPE would repeat, that we do not believe it will, this year, then you'd be into the - the number would start with an eight as far as internal growth. So how far into the eight? I really don't know. But nevertheless, we'd be picking up a heck of a lot of basis points in growth if that PPE repeated. So it's a headwind. We're proud that we provided the product to our customers. Our customers really valued it. It opened doors. Excuse the pun, but it kept their doors opened in many cases. And our Net Promoter Scores reflect it. So they were very appreciative that we were able to provide those products and services. If they need them again, we'll provide them. We just don't think that they'll be at the levels that they were in the past.
Gary Bisbee: Thank you. And then a quick follow up. In the past, Mike, I think you've provided the breakdown of the Rentals business revenue in the fourth quarter by the various sub-segments. I wonder if you'd be willing to do that again this year?
Paul Adler: Yeah, Gary, it's Paul. And we do - yeah, Gary, we have that information for you, excuse me. And I would preface it by saying, first of all, what we provided typically is a Q4 sample, Q4 fiscal '21 versus fiscal '20. Obviously, there's a lot of noise in these figures, excuse me, in that you know, it's an unprecedented time. Fiscal '20 fourth quarter was the onset of the pandemic. So a lot of job losses, a lot of pandemic-driven demand, as Todd just said, for certain items of PPE. So I want to throw that out there first. But last year's fourth quarter, so fiscal '20 Q4, Uniform Rental was 50% of the segment mix. Dust, which is the walk-off mats, mops, that was 18% of the mix. Hygiene products, those are the soaps, the air fresheners, sanitizing dispensers, et cetera, that's 14% last year. Shop towels were 4%, linens 10 and the catalog business, which is more like the direct - small direct sales component of the Rental business products off of the route from the drivers, that was 4%. So, then this year's mix: uniform rental 48%; dust, 17%; hygiene at 17%; shop towels 4%; linens 9%; and catalog 5%. So again, obviously, COVID impacted results, not necessarily reflective of future performance. But with this breakout, you can obviously see how strongly hygiene performed. Typically, like in the Q4 of fiscal '20, that was mostly restroom type items, soaps and air fresheners, the paper. But in this Q4 '21, that hygiene percentage grew greater, driven by the sanitizer dispensers, the stands, the sanitizing sprays, et cetera. And then that catalog nudged up a little bit from 4% to 5%. And that's where a lot of the PPE in the Uniform Rental and Facility Services business that we've talked about is recorded, the masks, gloves, those types of items.
Gary Bisbee: Thank you.
Operator: Thank you. And our next question comes from Scott Schneeberger with Oppenheimer. Please go ahead.
Scott Schneeberger: Thanks very much. For my first one, I just wanted to follow up on the M&A comments earlier. It sounded like you have a very active pipeline that you're pursuing. I'm just curious if you could elaborate a little bit on what areas you may be pursuing and size of targets and how ripe things are. And then maybe what you're seeing with regard to multiples, good or bad, in the environment? Thanks.
Todd Schneider: Scott, I'll say each of our businesses were acquisitive, but tuck-ins, certainly, some geographic expansion as well. So we're highly active. And there is folks that are at least answering phones and they are taking calls, and we'll see where that goes. Certainly, you wonder about changes to tax, potential changes to taxes, will that free things up? That will be interesting to see what happens with that. As far as the size and multiples, those types of things, you know, there's - everything's come from the very small to medium sized types, I won't comment on else, but it's - they're all active. And part of it is because multiples, if you look at it historically in the marketplace, they're pretty high. But we're quite active in that area because we look at it from a very long-term approach. And we know when we make those types of acquisitions that it positions us to grow those as well. Because of our broad offering of products and services that we bring to the table that in many cases, the folks that we're speaking to don't have that broadness, it allows for us to take a long-term approach and grow those businesses, whether it's just in that area of the business or cross selling it across each of our enterprise.
Scott Schneeberger: Great, thanks. Appreciate that. And then my follow-up is a bit of a two parter, but it ties together pretty well. In Todd's section in the press release, there was mention of investment in - continued investment in technology, a competitive advantage. Just hoping you could elaborate on that. And then the back part of the question is, CapEx was down a lot in the past fiscal year, almost half of what it was in fiscal year '19 and down a good bit from fiscal '20. Just curious where that goes this year and maybe tie it together with the tech question? Thanks.
Todd Schneider: Great. I'll start with the tech question, and then Mike can handle the CapEx, if he prefers. Scott, we're investing heavily there because we see a need to - from a - whether it's productivity or from a competitive advantage. All areas of our business, we talked about leveraging SAP, leveraging the platforms that come along with that, they have customer benefits and operational benefits for us, and then obviously, the data that goes along with that. But that being said, we see some opportunities in automation that we've been investing in over the years. And we see opportunities to get efficiencies out of our fleet that we're investing in that we think can pay big dividends in that area. And so we're focused on doing such and making it easier to do business with Cintas. So - and we think, as you do that, that provides leverage for us. So leverage in the marketplace. So Mike, I'll let you handle the CapEx question.
Mike Hansen: Sure. From a CapEx perspective, clearly, the amounts were down in this past year because capacity needs just weren't the same as they had been in the previous years. We certainly kept up the CapEx for maintenance activities. But as we - there's a bit of a lag between when we need new capacity and when this revenue starts to - has started to come back. And we've seen some momentum, but there will be a little bit of a lag in the CapEx. Having said that, I expect we'll get back to historical levels by the end of the fiscal year. And that puts us probably in the $200 million to $250 million range for fiscal '22. But certainly, when we invest, we will certainly - when we need to invest, whether it's capacity, technology or otherwise, we will certainly do that.
Paul Adler: Yeah. The great news is, regarding our investment in the ERP system, SAP, that we've talked about a lot. I mean, a lot of that investment spending in that - some of the major expense is behind us, and it took us a while to roll it out and get the entire network into SAP. We had the G&K acquisition that added more locations and kind of slowed down the time to complete it. Then we had the pandemic. And so the exciting thing is the additional investment will continue to be made throughout the business, of course, still in technology. But a lot of it's already paid for. And now it's perfecting the system, taking the toy, so to speak, out of the box and not just using it for the Xs and Os of running the business, but using it to meet that competitive advantage to give us the data analytics and the other advantages that we haven't had previously.
Scott Schneeberger: Okay. Thanks so much.
Operator: Thank you. And our final question today comes from Kevin McVeigh with Credit Suisse. Please go ahead.
Unidentified Analyst: Hey, guys. This is actually Bryan on for Kevin. Thanks for squeezing us here. Thanks for the commentary kind of around the color sort of on the re-opening and you don't expect - not all customers are quite back yet. So just drilling in that a little bit, how should we think about you know, sort of what percentage of clients are still inactive versus maybe kind of how that compares to out of businesses or attrition that we would see just to kind of frame that in. And any sort of commentary around how that shakes out geographically, either geographically or by vertical here in the US?
Todd Schneider: So Bryan, I don't have a specific number for you, but just generally speaking, I'd say most businesses are back to some degree, not certainly back to full bore. We mentioned Canada specifically as an outlier, which we expect, let's just say, by August, September to be back much closer to normal. But one of the big issues is there are 7 million people less working today than there were a year ago or so. And of those 7 million people, I don't know what - how many of them are Cintas wearers or will be, but there's a percentage of. And we want those to - certainly see those folks get back to work. And whether they're wearing uniforms or utilizing our First Aid products and services, all that impacts us. So the - for the most part, businesses are back. They're certainly not anywhere near where we think they will be over time.
Unidentified Analyst: Got it. Okay. And then last one here for us. You guys talked about continuing to expand on ESG reporting. And you know, certainly, what we've noticed is the ESG scores tend to focus on the internal operations. But we'd be curious if you could just touch on maybe how you guys help your customers achieve their ESG goals? Thanks.
Todd Schneider: Yeah. Bryan, great question. Again, our heritage, what we do - and frankly, as I'm speaking of the Rental business, what our industry does, the impact that it has on saving customers water, energy, what we do to treat water instead of it going down into the sewer. Because those products, whether they're garments or towels or what have you, all that, they're going to be either purchased and thrown in the garbage or purchased and cleaned at home. And in both cases, we are helping substantially those folks helping the environment and helping to save landfill space, helping to fill or excuse me, save water, energy and the cleanliness of water as well. And I don't think we've told the story well enough in the past, because at our heritage, we are a wash and reuse business. And again, without our industry, there would be millions of more gallons and units of energy and et cetera that will be utilized because they're going to be either thrown to the landfill or laundered somehow. And we know that we are infinitely more efficient at laundering those products than they would be at home or in another type of setting.
Mike Hansen: You know, I might add also that when you think about our First Aid and Safety and Fire businesses, the purpose of those businesses are to keep our customers, employees safe and healthy. And so it's a little bit of a different ESG angle than what Todd was talking about. But from an employee perspective, our goals are to help our customers really achieve the safety and the health of their employees. So we're looking out for them from that S perspective of the ESG as well.
Operator: All right. Thank you. And this concludes today's question-and-answer session. Mr. Adler, at this time, I'll turn the conference back to you for any additional or closing remarks.
Paul Adler: All right. Thanks, Nick. And thank you all for joining us this morning. We will issue our first quarter of fiscal '22 financial results in September. And we look forward to speaking with you again at that time. Have a good day.
Operator: And this concludes today's call. Thank you all for your participation. You may now disconnect.